Operator: Good day, everyone, and welcome to this Frontier Communications First Quarter 2018 Earnings Conference Call. Today's call is being recorded. At this time, I'd like to turn the call over to Mr. Luke Szymczak. Please go ahead, sir.
Luke T. Szymczak - Frontier Communications Corp.: Thank you, Shannon, and good afternoon everyone. Welcome to the Frontier Communications first quarter earnings call. My name is Luke Szymczak, Vice President of Investor Relations. With me today are Dan McCarthy, President and CEO, and Perley McBride, Executive Vice President and CFO. The press release, earnings presentation and supplemental financials are available in the Investor Relations section of our website frontier.com. During this call, we will be making certain forward-looking statements. Forward-looking statements by their nature address matters that are uncertain and involve risks, which could cause actual results to be materially different than those expressed in such forward-looking statements. Please review the cautionary language regarding forward-looking statements found in our earnings press release and other SEC filings. On this call, we will discuss certain non-GAAP financial measures. Please refer to our earnings press release for how management defines these non-GAAP measures, reconciliation to the closest GAAP measures and certain short comings associated with these measures. I would now turn the call over to Dan.
Daniel J. McCarthy - Frontier Communications Corp.: Thanks, Luke. Good afternoon, everyone, and thank you for joining us. We achieved a number of very noteworthy milestones in the first quarter. This quarter's results demonstrate the substantial progress we've made in executing our key initiatives. These are to improve customer retention, enhance the customer experience, maintain momentum and attracting new customers, and align our cost structure. Please turn to slide 3. First quarter revenue of $2.2 billion included a sequential increase in consumer revenue. We had another sequential improvement in customer churn to 1.94% and consumer ARPC was very strong. Our focus on base management is delivering results. We've been successful in improving retention of customers at contract expiration and we'll continue to be very diligent and disciplined in managing the customer's experience. Commercial revenue declined sequentially on a like-for-like basis. The decline within SME about half related to the normal decline in voice and a slight decline in data with the remainder related to the seasonal characteristics of larger business solution deals. Our goal is to achieve data growth that is strong enough to offset voice decline. So clearly we have more work to do here. Carrier-wholesale was roughly stable sequentially. However we continue to anticipate some pressure from wireless backhaul. I am pleased that we delivered a solid adjusted EBITDA performance, despite the normal unfavorable expense seasonality we experienced in the first quarter. We remain on track to achieve our $350 million annualized cost synergy target at the end of the second quarter. And finally, we did strengthen our balance sheet in the first quarter, which Perley will address in more detail. Please turn to slide 4. We've achieved significant milestones in the first quarter. The first I already mentioned, the sequential growth in consumer revenue. The second is that we achieved a positive CTF FiOS broadband net addition of 5,000 in the first quarter. I am very pleased with this result and I anticipate that we can increase it further. This result was driven by another sequential improvement in gross additions and a very slight seasonal increase in CTF FiOS broadband churn. We do anticipate some additional seasonal churn in certain markets in Q2. And we believe we have further room to improve churn over coming quarters, which should result in stronger net additions. We did experience slightly higher CTF FiOS video losses sequentially, but this is very much in line with industry trends, and we remain at a materially stronger level of video performance compared to last year. I'd also like to highlight that in the CTF copper markets, we achieved a solid improvement in copper broadband gross and net adds. For three consecutive quarters we have achieved stronger quarterly net additions than this business delivered over the two years prior to our ownership. Clearly the investments we have been making in capabilities and operations are beginning to yield meaningful improvements to results. Please turn to slide 5. In Legacy, our efforts have begun to yield benefits as well. Although broadband gross adds weakened slightly sequentially, we did improve the broadband net add performance. This illustrates the extensive operational and customer satisfaction improvements we have achieved. Our initiatives in Legacy are focused on marketing our services where the strength of our capabilities create opportunities for greater market share, for example, areas where speed and capacity have been upgraded over the last several years. We continue to refine our acquisition and retention efforts based upon competition, network capabilities and customer feedback. And we expect to deliver a series of improvements in the Legacy markets over the remaining quarters of 2018. Please turn to slide 6. The prior two slides looked at both CTF and Legacy broadband and video trends. This slide focuses on total consumer results. Total consumer broadband subscribers declined by 31,000 in Q1, which is a 19,000 unit improvement from the Q4 net adds. As you know, we have a new leader running consumer as of last July, and I'm very pleased with the strides being made. Initiatives are underway for further improvements, mostly weighted towards the second half of 2018. Please turn to slide 7. We've delivered consistent improvements across significant metrics, such as customer churn and CTF gross additions over the last year. Underlying these results has been a broad focus on improving operations, which benefits both the consumer and the commercial business. As illustrated in the first graph, we have achieved a significant reduction in repair ticket volumes since the CTF acquisition. The substantial decline reflects our success at improving resolution of issues on the first customer call. This has multiple benefits, most importantly improving customer satisfaction, which reduces the potential for churn, as well as freeing resources, so we can respond more rapidly to request for installation of new customers and new services. The second graph is the trend of the ratio of new service installations to repair tickets. This ratio has improved very significantly, and it has further room to trend higher. We also track the commitments we make for repair appointments and new service installation appointments. When we presented this data to you a year ago, these measures had improved to about 90%, and this means we were meeting roughly 90% of our appointment commitments. We're now well above those levels of a year ago and are exceeding our targets for appointment commitments for both repairs and new installations. Our Head of Operations, Chris Levendos and his team have plans in place to continue to improve these service levels further. Please turn to slide 8. Since the closing of the CTF acquisition, I've been updating you on a broad range of initiatives we have underway to improve our business performance and operations. I'd like to give you an update on the status of these many initiatives. In terms of consumer, I'm very pleased with our progress particularly in the fiber markets, and we have additional initiatives underway to help drive broadband additions in the copper markets. In terms of commercial, we have efforts underway and anticipate improvements over the coming quarters. Moving to field operations, as I outlined on the prior slide, we have made tremendous progress in this area, which has resulted in important improvements to the customer experience. We also have a comprehensive range of initiatives underway in our call centers and customer technical support operations. We've discussed our development initiatives based around the Pega platform extensively in the past. We have been introducing new capabilities into production. And as each module becomes available, as a group they are becoming increasingly important contributors to our improvements in customer satisfaction, churn, activation cycle times and operational performance. For example, several Pega initiatives that entered production over the last few months have driven a 30-second reduction in call handle time in our call centers as well as improved accuracy and outcomes. That 30 second reduction improves customer satisfaction, helps reduce churn, reduces cost and frees resources to address other customer matters. Our call center development initiatives are standardizing the capabilities of our customer service representatives, resulting in greater consistency of the customer experience. Overall, I'm extremely pleased with the improvements we have achieved across our operations and I anticipate further improvements going forward. In terms of engineering and network, we've made improvements in our ability to respond to the customer needs and be ahead of demand in terms of capacity. And finally, we are very proud of our strong expense management as demonstrated by our ability to maintain adjusted EBITDA margins of 40%. In summary, we are pleased with our operational progress. In the first quarter, we continued the multi-quarter trend of improving results. Looking forward, I'm confident our business is stabilizing and we can continue to further improve the trends in the business. I'll now turn the call over to our CFO, Perley McBride to discuss our financial performance.
R. Perley McBride - Frontier Communications Corp.: Thank you, Dan, and good afternoon, everyone. I will review our first quarter financial performance, provide an update on our guidance for 2018, and then we will open the call for questions. As I mentioned on the Q4 call, the new revenue recognition standard had an impact on revenue categorization. However, the impact is not material to total revenue, EBITDA and operating free cash flow. Within the investor presentation, we have shown Q1 results reported on the basis of the ASC 605 and ASC 606 standards for comparison purposes. Please turn to slide 10. Total Q1 revenue was $2.2 billion, a decline of approximately 1% compared to the fourth quarter of 2017. Net income was a positive $20 million, which was our first positive net income result since fourth quarter 2014. We continue to execute on expense management, despite seasonal headwinds and continue the trend of sequential reductions in adjusted operating expense. I'm pleased that we have attained approximately $275 million in annualized cost synergies and remain on track to achieve our $350 million annualized run rate cost synergy target by the end of Q2 2018. First quarter adjusted EBITDA was $908 million and adjusted EBITDA margin was 41.3%. We continue to target adjusted EBITDA margins above 40%. Net cash from operating activities in the first quarter was $251 million due to our Q1 cash interest payments. As I have mentioned before, our cash interest payments are weighted to Q1 and Q3 and lower in Q2 and Q4. So this result fits our normal quarterly pattern. As a separate note, our first quarter cash interest payments were $593 million or 40% of our full year interest expense. Finally, on a trailing four-quarter basis ending March 31, 2018, operating free cash flow was a positive $632 million. Please turn to slide 11. We are pleased that improving execution has resulted in data and Internet services revenue returning to growth again, which was driven by broadband services revenue. Video revenue trends also improved and we were roughly stable sequentially. Voice revenue continues to decline in line with past trends. As Dan discussed earlier, consumer revenue was up sequentially in Q1, which is a very important development and it drove the overall improvement in total revenue. Revenue for our commercial business was down sequentially, carrier-wholesale was roughly stable and the small, medium and enterprise portion of the business declined sequentially. About half of the sequential decline resulted from the decline in voice revenue and a slight sequential decline in data with the remainder being a result of the seasonality of large customer solutions revenue. We continue to work toward improving the trend in commercial. Please turn to slide 12. The company adopted the new ASC 606 revenue recognition standard using the modified retrospective method effective January 1, 2018. This slide presents the comparison for the first quarter under ASC 606 as well as what the first quarter results would have been under ASC 605, the prior accounting standard. For comparison, we have also included our fourth quarter results as reported under ASC 605. As I have said, the change in accounting is not material to our financials, and this is illustrated by the total revenue, net income and EBITDA results on this slide. There was movement within revenue categories, most notably from the former regulatory category to customer revenue. This change drove an approximate $3 increase in ARPC. Please turn to slide 13. Excluding the adoption of ASC 606, consumer ARPC was up $1.65 sequentially, reflecting the benefit of improved product mix and better base management. We are also pleased that we have been able to continue the improvement in churn, even with the increases in ARPC, illustrating the success of our initiatives to improve the customer experience and retention. Please turn to slide 14. Capital spending in the first quarter was $297 million. More than 70% of our capital program focused on revenue generating and productivity enhancing projects. Under our commitments for the Connect America Fund or CAF II program, we are expected to deploy broadband to 60% of eligible locations by the end of 2018. As of quarter end, Frontier already has three states exceeding the 60% threshold. Frontier now offers broadband capability to 357,000 locations in its CAF II eligible areas, with our goal to pass 774,000 locations by the end of 2020. Please turn to slide 15. As highlighted in our fourth quarter earnings call, we amended our credit agreement in January 2018 and moved to a first lien net leverage ratio maintenance test. These amendments provide greater operating flexibility, ensuring us runway as we execute our operational improvements. In March, we issued $1.6 billion aggregate principal amount of second lien secured notes due 2026. The proceeds were used along with cash on hand to repurchase $1.65 billion aggregate principal amount of notes due in 2020 and 2021. Upcoming unsecured maturities are manageable, particularly when considered against our operating free cash flow guidance of $800 million for this year. We have $491 million of bonds coming due in Q4 2018, $404 million in 2019, $227 million in 2020 and $309 million in 2021. We have ample liquidity as well as the runway to realize the potential of our strategic plan. Naturally, we will continue to evaluate balance sheet alternatives over time. Nonetheless, with the completion of the capital markets activity in Q1, our primary focus remains on executing on our initiatives to improve the business, a number which Dan just outlined. By executing on our priorities, we will drive results that will expand our range of options over time. Our goal remains to realize the full potential of our business and assets and maximize value for equity holders. Please turn to slide 16. Last quarter we introduced a more traditional and simplified measurement of free cash flow, which is operating free cash flow. We define operating free cash flow as net cash provided from operating activities, as per our GAAP financial statements, less capital expenditures also as per our GAAP financial statements. This measurement represents the cash generation of the business before taking into account dividends and redemptions of debt. On a trailing 12 month basis, operating free cash flow was $632 million. Please turn to slide 17. Our 2018 guidance remains unchanged, adjusted EBITDA of approximately $3.6 billion, capital expenditures of between $1.0 billion to $1.15 billion, cash taxes less than $25 million, cash pension and OPEB approximately $150 million, interest expense of approximately $1.5 billion for the full year and second quarter cash interest payments of approximately $150 million, operating free cash flow of approximately $800 million. As Dan discussed, company-wide initiatives are translating into improving trends in our financial results. And we remain confident in our ability to improve the business each quarter. Thank you for taking the time to join us on the call today. And with that, we will open the lines to take your questions. Operator?
Operator: Yes, sir. Yes, sir, thank you. We'll first go to Batya Levi with UBS.
Batya Levi - UBS Securities LLC: Great, thank you. Couple of questions. First on the consumer side, we saw some nice uptick on CTF broadband adds and I think you mentioned that that will continue. And you had said that it's a timing issue to see similar improvements on the Legacy side. Can you provide a bit of color on that? And we also saw some acceleration in growth in consumer ARPC, even though video subs are coming down. Can you provide some color on what's driving that improvement? And finally on commercial, you mentioned it's in progress. Maybe talk about what's driving the weakness right now and what are some initiatives to turn that around? Thank you.
Daniel J. McCarthy - Frontier Communications Corp.: Sure Batya, this is Dan. So first on the consumer broadband, so CTF broadband you're right, we were very happy with the performance in the quarter in the CTF fiber areas, we're also pretty happy with the copper performance in CTF. As we mentioned in the past, we have been rebuilding all of the offers for the Legacy markets using our new platforms, Sigma and Pega. So as we've been doing that, we've been very focused on improving retention activities and base management and really still marketing in areas that were more greenfield opportunities that didn't have some of the old products and services in them. So, we're going to finish up testing on all of those platforms this quarter, and then we'll be in full swing on marketing on the copper side and Legacy in a substantially larger way. So I think that you'll see some improvements in Legacy this quarter as we execute, but I think you'll see bigger improvements as we get into Q3 and Q4. On the consumer growth on ARPC that was really driven as Perley pointed out by sales mix change and base management. I think we've done a much better job of really selling what we want as far as targeted prices as well as managing customers as they moved from acquisition pricing to normal pricing. The contribution was about 50% driven by both sides of the equation. And then on the commercial side, we have been working on really refining the different distribution channels. I think we've got a good both alternate and direct channel for the higher end, medium and the higher and small customer base. The area that really didn't perform particularly well in the first quarter was the small segment. We have tried one complete evolution on that distribution strategy and we're continuing to fine tune it. The wholesale side we felt was fairly stable. We're still evaluating what potential wireless backhaul pressures might come as we go through the rest of the year. But at this point, we're comfortable that that will be modest pressures if it arrives depending upon obviously the T-Mobile and the Sprint agreement and some of the changes in perhaps some of their plans as we go forward. But we are working every day on turning the commercial around, we did have as Perley pointed out, and I pointed out, some normal voice declines, some very modest data decline and really half of the decline was around some seasonal large solutions for customers. We expect to see that part of the portfolio pick up, as we get into next quarter and for the rest of the year. So we expect to make up some ground on that as we report our next quarter.
Batya Levi - UBS Securities LLC: Got it. Thank you.
Daniel J. McCarthy - Frontier Communications Corp.: You're welcome.
Operator: Next question comes from Matt Niknam with Deutsche Bank.
Matthew Niknam - Deutsche Bank Securities, Inc.: Hey, guys. Thank you for taking the question. It's Matt Niknam. Two, if I could? One just on asset sales, I mean we read about this in the press, I guess we read about it recently in terms of Frontier potentially exploring strategic alternatives for some of the fiber-centric investments. So how do we think about this as a means of delivering, particularly considering all the heavy lifting you've gone through in the last two years to really integrate the CTF properties with your Legacy operations? And then secondly just on churn maybe Dan if you can just comment on whether there has been any real change in the competitive landscape or whether the improvement is mainly just better execution? Thanks.
Daniel J. McCarthy - Frontier Communications Corp.: Sure, Matt. So first off, as we said and we've always said, we're open to considering strategic transactions that recognize the substantial value of our assets and allow us to reduce leverage. So that's a constant. We are very pleased with the CTF. And as far as you know the stories and the rumors, we don't comment on any specific rumors or speculation in the market. As far as the churn and I think the competitive intensity has been fairly stable and hasn't really ramped up. I think this is really a better execution on our part, in all parts of the value chain in delivering the customer experience. So that can be in the call centers, it can be tech-support, it's better meeting our commitments for customers if we have repair intervals or service installations. And when you look at all that put together, it's just a much better customer experience and that's driving the churn reduction. And we see a lot more opportunity to improve that going forward, and we're attacking those opportunities with different teams to drive that forward.
Matthew Niknam - Deutsche Bank Securities, Inc.: Got it. Thank you.
Operator: Next question comes from David Barden with Bank of America.
David Barden - Bank of America Merrill Lynch: Hey, guys, thanks for taking the questions. I guess the first one was just going back to the consumer ARPC, Perley, kind of mix shift and base management. What kind of effect did the institution of the Internet, I guess, infrastructure fee – I guess, you added a couple dollars fee to the bill this quarter, kind of how did that contribute? How might it contribute additionally in the second quarter? And has there been any kind of push back on the fee in terms of churn? I guess the second question would be on the pension accounting, just if you could share how much expense kind of got moved out of the pension expense number that goes into the EBITDA equation and then moved down into other income? I think it's been kind of a few million based on the restatement you put in the release. And then I got one more follow up. Thanks.
R. Perley McBride - Frontier Communications Corp.: Hey, David. Yes, it's Perley. I'm looking for the pension number right now.
Daniel J. McCarthy - Frontier Communications Corp.: While he does that, Dave, on the fee, that was very selective in its application, it wasn't completely across the base. We have not seen any significant push back. So we feel good about the targeted increase in that case. But clearly it was – when you look at the total quarter, the bigger impact is probably around how we managed the base going from a wide variety of acquisition pricing schemes to a more standardized experience, as they move to that kind of normalized price, so that was probably the bigger impact. And then, we did do a lot better on selling the types of packages that we really wanted to. And that's why it was kind of a 50-50 split on the mix change as well as the base management. There was some absolute benefit associated with the broadband fee that you described, but I would say that's the smaller part of the impact.
David Barden - Bank of America Merrill Lynch: Got it.
R. Perley McBride - Frontier Communications Corp.: And, Dave, on the pension add back, it was $22 million in Q1, and it was $20 million in Q4, and it was $22 million in Q1 a year ago.
David Barden - Bank of America Merrill Lynch: Yeah. I saw that. I was just wondering, given that the new accounting makes you pull some of those expenses out of that number and put them into other income, I was wondering what that would have looked like if you had used the old accounting?
R. Perley McBride - Frontier Communications Corp.: Well, we restated the prior year, so those were all like-for-like. All of those quarters are like-for-like.
David Barden - Bank of America Merrill Lynch: Yeah. But my model, I didn't change it. So under the old accounting, what would have looked like instead of $22 million?
R. Perley McBride - Frontier Communications Corp.: I think it's probably $1 million to $2 million. I mean it's just a – the settlement cost now won't be in anyway, but we always reported those on their own line item, and then it was just $1 million to $2 million of kind of the servicing cost, if you will.
David Barden - Bank of America Merrill Lynch: Got it. Thanks. And then, the last question was just on the work stoppage, you took a $7 million charge for that. Could you talk about any effect it had on into the metrics, or anything it might have on kind of an aftermath basis as we look into 2Q?
Daniel J. McCarthy - Frontier Communications Corp.: Dave, yeah, no one likes to go through a work stoppage. We certainly didn't enjoy going through the process. I think it probably did impact broadband units by a couple of thousand, nothing really major. I think the management team and the strategy that we had did a pretty good job of maintaining the customer experience. We did shut off acquisition for a little bit as we went through the four-week evolution of working through that work stoppage, but I don't think it's going to really have a big impact on the units going forward. I think the bigger impact on West Virginia will be as we get full implementation of the Pega and Sigma platforms and start to do a better job of driving acquisition on the copper side.
David Barden - Bank of America Merrill Lynch: Perfect. All right, great. Thanks for the help.
Daniel J. McCarthy - Frontier Communications Corp.: Yeah.
Operator: Next question comes from Mike McCormack with Guggenheim Securities.
Justin Ages - Guggenheim Securities LLC: Hi. This is Justin on for Mike. I was just hoping you could talk about competition briefly, maybe from cable companies? And then as you see 5G down the road, just given all the news recently on the 5G? Thank you.
Daniel J. McCarthy - Frontier Communications Corp.: Yeah. So on the competition front, it has been I would say relatively stable. Certain competitors are looking to change speeds in certain markets. But as we talk to our customers, and we've done a fair amount of research, we think we're well positioned in those cases, certainly in our fiber-to-the-home markets. We also think we're well positioned for a large part of the segment even in copper markets where people are moving speeds up. So we didn't really see a significant change from the competitive landscape at this point. And I think as far as 5G, I think that's going to be down the road the first places we may see it are places where it's more urban density, and I think there we have for the most part fiber-to-the-home covering the opportunities. So I'm not as worried about 5G there, and I think it'll take 5G quite a bit longer to make it out to some of the rural parts of our systems.
Justin Ages - Guggenheim Securities LLC: I understand, thanks for taking the question.
R. Perley McBride - Frontier Communications Corp.: I was just going to clarify on the question regarding the West Virginia and the labor that we made the comment that shut off marketing, that was only in West Virginia that wasn't anywhere else in the country just in case there was any confusion on the call.
Operator: We'll go ahead and take our next caller Frank Louthan with Raymond James.
Frank Garreth Louthan - Raymond James & Associates, Inc.: Great, thank you. Couple of things, talk to us a little bit about the fixed wireless that you have mentioned in the slide here, what percentage of your CAF II location would be fixed wireless, can you describe sort of the technology, the set up there? And then kind of looking at the quarter-to-date what kind of confidence can you give us about the trends that we've seen in Q1 and those kind of continuing in the same direction and being able to continue with that momentum? Thanks.
Daniel J. McCarthy - Frontier Communications Corp.: Frank, on the trends for the quarter one month in, so it's pretty early in the quarter, but we see consistency on the trends as you can imagine, I know you're very familiar with the Tampa market as well as parts of the Southern California market. This is a time of the year when we do see some seasonality as snowbirds move north that translates into two different impacts. One is customers moving on to a vacation rate, which just takes the ARPC down from the customer while they're out of the market. The second is people who actually see the benefit of shutting down service and restarting it. So we're seeing some of that impact flow in, I think everybody who's – or anybody who's in the Midwest or the Northeast has realized it's been an extended winter. So the impact hasn't really fully blown in April. We expect to see some of that coming in May, but there's nothing that I have seen that I would say the trends are changing other than the seasonality right now.
R. Perley McBride - Frontier Communications Corp.: And regarding fixed wireless, Frank, we deployed two markets in 2017. We have plans to deploy another 15 to 20 markets in 2018 and have already launched service in – our plan is to cover about 30,000 households by the end of the year and we've had good deployment so far with it and good uptake on the product on it as well.
Daniel J. McCarthy - Frontier Communications Corp.: Operator, we'll take one more question.
Operator: Thank you, sir. We'll move next to Simon Flannery with Morgan Stanley.
Spencer Gantsoudes - Morgan Stanley & Co. LLC: Hi. It's Spencer for Simon. Thanks for taking the question. I just want to go back to slide 16 and 17 on free cash flow. I understand that 1Q and 3Q are higher from a cash interest perspective, but are there any other working capital items that help you get to the $800 million guidance number over the course of the year, if we look on a trailing 12-month basis, we've seen free cash flow decline about $30 million each quarter. So is there any other kind of moving items we should be aware of?
R. Perley McBride - Frontier Communications Corp.: No, I think we have – Spencer, it's Perley. We have overall improved our working capital from quarter-to-quarter and we'll continue to work on that as well. I think there is some cyclicality in how our cash flow works and so that's why we have this trend schedule on here. And I think we're still in a good position, and that's why we've reaffirmed our guidance for the year on the cash flow generate for the business.
Spencer Gantsoudes - Morgan Stanley & Co. LLC: Okay. So then if we kind of look at the seasonality of the cash interest, we could maybe expect 2Q 2018 improvement versus 4Q 2018, and then 3Q 2018 improvement versus 1Q 2018 so on and so forth?
R. Perley McBride - Frontier Communications Corp.: Yeah. And I think overall we'll have a cleaner working capital year in 2018 versus what we had in 2017.
Spencer Gantsoudes - Morgan Stanley & Co. LLC: Okay. So we look on incrementally on a basis of two-quarter stack basis then?
R. Perley McBride - Frontier Communications Corp.: Correct.
Spencer Gantsoudes - Morgan Stanley & Co. LLC: With a full set of these (35:35). Okay. Thanks.
Operator: That does conclude our question-and-answer session.
Daniel J. McCarthy - Frontier Communications Corp.: Thank you, operator. I just want to leave you with the following thoughts and observations. Several quarters ago, we said we believe we were at the cusp of inflection in the business. And I believe this quarter's results provide further illustration of that. We achieved positive FiOS broadband net adds and CTF for the first time and we expect to improve this trend over time. We improved the net add trend in the CTF copper markets and we achieved the first improvement in Legacy broadband net adds in five quarters. And we believe we have achieved stability in the consumer area. And finally, we achieved another quarter of sequentially higher consumer ARPC and improved churn and we remain fully committed to attaining our synergy targets, improving expense levels, increasing EBITDA and free cash flow and reducing leverage. I think the first quarter results illustrate that we're headed in the right direction. So thank you for joining us today. And I look forward to updating you on Q2 results.
Operator: Thank you. Ladies and gentlemen, that does conclude today's conference. We thank you for your participation. You may now disconnect.